Operator: Good day and welcome to the CNA Financial Corp, Second Quarter 2015 Earnings Call. Today’s conference is being recorded. And at this time, I’d like to turn the conference over to James Anderson. Please go ahead, sir.
James Anderson: Thank you, Danny. Good morning and welcome to CNA's discussion of our 2015 second quarter financial results. By now hopefully all of you have seen our earnings release, financial supplement and presentation slides. If not, you may access these documents on our website, www.cna.com. With us on this morning’s call are Tom Motamed, our Chairman and Chief Executive Officer; and Craig Mense, our Chief Financial Officer. Following Tom and Craig’s remarks about our quarterly results, we will open it up for your questions. Before turning it over to Tom, I would like to advise everyone that during this call there may be forward-looking statements made in references to non-GAAP financial measures. Any forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made during this call. Information concerning those risks is contained in the earnings release and in CNA's most recent 10-Q and 10-K on file with the SEC. In addition, these forward-looking statements speak only as of today, Monday, August 3, 2015. CNA expressly disclaims any obligation to update or revise any forward-looking statements made during this call. Regarding non-GAAP measures, reconciliations to the most comparable GAAP measures have also been provided in the financial supplement. This call is being recorded and webcast. During the next week, the call may be accessed on CNA's website. With that, I will turn the call over to CNA's Chairman and CEO, Tom Motamed.
Tom Motamed: Thanks you James. Good morning everyone and thank you for joining us today. In the second quarter CNA produced net operating income of $132 million, which included an non-economic $54 million charge related to retroactive reinsurance. Excluding this charge, net operating income was $186 million compared with an adjusted $216 million last year. With higher underwriting income offset by lower limited partnership income, our adjusted return on equity was 6.2%. Our property and causality operation continues to show steady improvement with the combined ratio 3 points better than last year’s second quarter. This improvement was driven by lower non-cat accident year loss ratios in both specialty and commercial. Excluding catastrophes and development, the property and causality combined ratio was 95.3%, 1 point better than the prior year quarter. Our specialty segment produced a solid quarter, while the combined ratio of 91.2% was higher than last year as a result of less favorable development. The current accident year loss ratio improved 0.6 points. Excluding catastrophes and development, the combined ratio was 92.6. Rates increased 1% and retention was strong at 85%. Specialties net written premium was down 4% in the quarter as the market becomes increasingly competitive, especially for larger accounts. We are very proud of this specialty franchise that we have built over decades and expect to grow it over time. However we also value the margins that this business generates and will be stubborn in giving those up. In other words, we will sacrifice the top line to protect the bottom line if necessary, as was the case this quarter. Moving to commercial, we continue to make good progress. The combined ratio of 107.2 was 11 point improvement over the prior year quarter, but was hampered by 7.7 points of catastrophe. Excluding catastrophes and development the combined ratio was 97.7. I would expect to sustain our progress from here. Commercial rates increased 2% and retention improved to 79% with our core middle market business achieving 83% retention this quarter. Commercial premium increased 4% as our underwriting actions affected a smaller portion of our book this quarter. New business was up in our focused customer segments. We are achieving a higher level of success, attracting new commercial customers in our focus segments, especially those segments where we are strong in specialty such as professional services and financial institutions. Our previously discussed underwriting actions are working and are reflected in our improved loss ratio and bottom line results. I’ll remind you that these individual underwriting actions are ongoing and will affect retention rates from quarter-to-quarter. International second quarter combined ratio was 92.2%. Excluding catastrophes and development the combined ratio was 97.8, 1.5 points better that the prior year quarter. Excluding the effects of foreign currency exchange rates, net written premiums increased 5% for the quarter compared with the prior year quarter. International rates decreased 1% and retention was 71%. While business in our international segment, particularly Lloyd's remains very competitive, we’ve been able to navigate effectively to find profitable growth opportunities. With that, I will turn it over to Craig. 
Craig Mense: Thanks Tom. Good morning everyone. Our core property and casualty operations produced net operating income of $237 million, consistent with the $236 million in the prior year quarter. Our improved underwriting result was offset by lower limited partnership investment income. Our P&C underwriting results continue to improve. As you can see on slide 11 of our earnings presentation, the quarters underlying loss ratio of 61.7% was more than 1 point better than the prior year quarter, driven by commercials 2.3 point improvement, with specialty improving by more than 0.5 point. Another important measure of our continuous improvement is our year-to-date underwriting results as compared to where we ended full year 2014. Property and causalities underlying loss ratio has been lowered by also 1 point from the end of 2014, driven by internationals 2.6 point improvement and commercials improvement of 1.3 points. Specialties current result is relatively consistent with full year 2014. Our second quarter expense ratio was 33.4%. While it was flat with the prior year quarter, we expect our run rate to be slightly higher in the second half of the year driven by ongoing investments in underwriting resources and technology. Life and group produced a $24 million net operating loss in the quarter compared with a $9 million gain in the second quarter of last year. The prior year quarter benefited from unusually favorable morbidity and persistency experience in our long term care business as compared with modestly unfavorable morbidity in the current year quarter. As one of the number of initiatives to improve our long term care business, we are implementing a new long term care reserving system that we expect will be used for this year’s reserve adequacy testing. Unlike our prior process where the review of claim reserves occurred in the third quarter and the review of active life reserves occurred in the fourth quarter, we now intend to follow a single integrated review process evaluating both reserve components together. We expect to conclude the 2015 reserve adequacy testing for both reserves in the fourth quarter. Our corporate segment produced a net operating loss of $81 million compared with a gain of $27 million in the second quarter of 2014. Last year’s second quarter was positively affected by a post retirement plan curtailment benefit of $56 million after tax. The current quarter includes a $54 million after tax charge arising from the accounting related to the 2010 Asbestos and Environmental Loss Portfolio Transfer with National Indemnity. Adjusted for these unusual items, our corporate segment operating loss was $27 million this quarter, compared with a loss of $29 million in the prior year quarter. You will recall that in 2010 we transferred our legacy asbestos and environmental pollution liabilities to National Indemnity Company, a subsidiary of Berkshire Hathaway through our retroactive reinsurance transaction. At that time we seeded approximately 1.6 billion of net liabilities and paid approximately $2.2 billion for our reinsurance contract with a $4 billion aggregate limit. As further outlined on slide 14 of our earnings presentation our estimate of inception to date ultimate seeded losses were increased by $150 million to $2.6 billion. Since the seeded losses are above the consideration paid, also known as the gain threshold, the gain must be differed and recognized in proportion to paid recoveries. These differed gains will be subsequently recognized in future periods as seeded paid losses increase. While the accounting negatively affected our reported results during the current period by $54 million after tax, there is no cash or economic impact. We expect to fully recover these seeded amounts over the course of that contract. The charge is GAPP only with no impact on statutory surplus. Net investment income was $500 million in the second quarter. Income from limited partnership investments was $48 million, a return of 1.6% compared with $97 million or a return of 3.5% in the prior year period. Income from our fixed maturity securities in the second quarter was $452 million, consistent with the prior year period. Our investment portfolios net unreleased gain stood at approximately $2.7 billion at quarter end, a decrease of $1.1 billion since the end of the first quarter. At June 30, shareholders equity was $12.2 billion and book value per share was $45.27. Excluding accumulated other comprehensive income, book value per share of $44.37 increased 3% from year end 2014 adjusted for dividends. Statutory surplus at June 30 was an estimated $10.9 billion for the combined insurance operating companies and we continue to maintain adequate dividend capacity. Cash and short term investments at the holding company were approximately $460 million at quarter end. We continue to target cash at the holding company equal to approximately one year of our annual net corporate obligations. In the second quarter operating cash flow excluding trading activity was $458 million. Cash principal repayments through pay downs, bond calls and maturities were approximately $1.1 billion. Fixed income assets that support our long duration life and group liabilities had an effective duration of 10.5 years at quarter-end. The effective duration of the fixed income assets which support our traditional P&C liabilities was 4.4 years at quarter-end. These durations are both in line with portfolio targets. Average credit quality of our fixed maturity portfolio remained at A. Overall, our investment portfolio remains well diversified, liquid, high quality and aligned with our business objectives. We continue to maintain a very conservative capital structure. All our capital adequacy and credit metrics are well above our internal targets and current ratings. With that, I will turn it back to Tom.
Tom Motamed : Thank you, Craig. Before we take your questions, I’d like to address the top of M&A. Much of the chatter in recent weeks revolves around scale and the ability to compete for different sized companies and I’d like to give you my thoughts on CNA in this regard. Today as we have for years, we compete with companies that are larger than us and we believe we are building a business that can stand on it’s on. Our strategy is one built around focus rather than size. That being said, we have demonstrated the desire and ability to acquire businesses and we continue to look for M&A opportunities with the key being that any deal must work for us both strategically and financially. We are not interested in simply being bigger. We have a very strong specialty business, a commercial business that has shown great improvement in recent years and an international business that is building momentum. Three pillars of the CNA that is getting stronger each quarter. So while I’d like to see CNA continue to grow and gain scale both organically and inorganically, we will do so rationally with our customers, agents and shareholders in mind. With that, we are glad to take your questions. 
Operator: [Operator Instructions]. And we’ll begin with our Q&A starting with Josh Shakar with Deutsche Bank. Please go ahead sir. 
Josh Shakar: Yes, good morning everyone. 
Tom Motamed: Good morning. 
Josh Shakar: Please excuse me being a little alarmist, but whenever I hear about people changing their methodology for how they do a major reserve study, I get a little nervous. Was there something wrong with your previous system for looking into your long term care reserves and why should I not be particularly concerned about a change in method?
Craig Mense: Well first Josh, I didn’t say change in method, so it’s not a change in methodology. It’s simply enhanced data it’s what we’ve been saying, we’ve been doing and long term care relative to our investments in the business over the past couple of years. So all we’re doing is allowing ourselves that ability to more clearly see more granular data and ability to relate more clearly and simultaneously healthy lives and unhealthy lives. So there is nothing in there signaling anything more than an improved ability to see data and trends more clearly.
Josh Shakar: Are you concerned that last year you weren’t seeing them clearly enough?
Craig Mense: No, we’re not. We’re simply trying to improve our ability to manage the business. Remember we’re also investing and building in new long term care claim. Our own long term care claim administrative platform, in bringing claims back in-house that have been outsourced, which has enabled us also to put those lessons we learnt and seeing things better to work. So certainly there’s nothing in this – the fact that we have a – the timing of reserve reviews are different. All we’re doing is just saying, suggesting to you that the claim and active life reserve reviews are being conducted simultaneously this year. That was the important point we wanted to make, so you weren’t looking for something different and we certainly weren’t trying to signal anything beyond that.
Josh Shakar: And in terms of looking at the reserve or redundancies and what not, they are not as strong as they were a couple of years ago. I know you try and get the accurate, not trying to create favorable development. Do you feel there’s been a change in the benign claims environment given where you were two years ago.
Craig Mense: I wouldn’t say there’s been any particular change in the claim environment where we were a couple of years ago. I’d suggest to you that what you’ve seen in our patterns has been more of a return to the steadiness on the commercial side, where we had been playing by both, some workers comp reserve, inadequacies in automobile a year ago and this year the last two reserve reviews you’ve seen relatively unchanged commercial lines; at least that’s how I would characterize the commercial lines change and you’ve seen some modest, continued modest favorable development coming out of about specialty and international and those are both relatively consistent trends, even though they might be quite as much as they were a year ago.
Josh Shakar: Okay. And finally and I don’t want to minimize all the hard work that you’ve been doing, but when we think about the turnaround of CNA, what inning is it? Are we coming to a steady state here where this is the new CNA or do you think there’s still a lot of work to do?
Tom Motamed: We’d probably say sixth inning, maybe getting near the seventh inning stretch, so we think we’re making progress. 
Josh Shakar: Okay. Well, I look forward to the end of the ball game. Take care. Thank you.
Tom Motamed: Thank you.
Operator: Our next question comes from Bob Glasspiegel with Janney. Please go ahead.
Bob Glasspiegel: Good morning CNA?
Tom Motamed: Good morning.
Bob Glasspiegel: Tom, I really appreciate your thoughts on consolidation. I just have two follow-ups, both on PC and long term care. It seems like some of your competitors Bill Berkley are griping about sort of the tax angle of competing in the marketplace and your alma mater to some extent allowing with these tax inversion may have been part of their thought process. Where are you on whether you have the right tax structure to compete in the current world?
Craig Mense: Bob, this is Craig and I will tell you that we think it’s important to not complain, but simply to play the field that you’re on and I don’t think we feel any terrific disadvantage. Whether that’s investing in the current market or whether that’s competing under the U.S. tax codes, we waste little to no time really worrying over that.
Bob Glasspiegel: Okay, you think we can speed… [Cross talk]
Craig Mense: Yes, we think we have plenty of other advantages relative to the position of our company, the broad retail reach of our company, the number of agents and distributors that are of importance to them, the breadth of product offering we have, our critical importance particularly in these customer segments, the size of the market share and the importance we are to customers across that and that’s all more important, so we don’t spend any time crying over spilt milk.
Tom Motamed: Yes, I would add to that Bob you know. We are trying to improve under writing and improve our margins. Our strategy is based on writing commercial and specialty business in the U.S. and abroad and doing it at better margins and if we can do that, we think we can compete with anybody and as Craig mentioned, we have some very strong market leading positions that are probably the envy of the industry. So we’re not in business to find a tax advantage. We’re in business to build the business. So that’s what we’re going to do and we’re improving every day.
Bob Glasspiegel: Got you. On the life side, I mean you did one nice sale. Is there a growing market for options in long term care where you can either sell or reinsure the pieces?
Craig Mense: Not that I’ve seen or heard of so far Bob. This little nibbles around edges and some people are trying to become more – better acquainted with it, but there’s certainly no signs of any meaningful market that would afford us an opportunity to do anything.
Bob Glasspiegel: Okay, one last question, numbers question on page eight of your supplement. Remind me why the tax credit rate on life group is running 70% plus. The after tax loss of 24 compares to a pre tax of 73.
Craig Mense: That’s because of the – because of the heavy amount of tax exempt muni’s that are investment income that are devoted to that portfolio. So what you’re seeing on a – you’re seeing the pre tax basis and then you’re seeing the tax affected, the muni benefit effect.
Bob Glasspiegel: Got you. Thank you.
Craig Mense: You’re welcome.
Operator: And our next question is from Amit Kumar with Macquarie. Please go ahead.
Amit Kumar: Thanks and good morning.
Tom Motamed: Good morning.
Amit Kumar: Just a few follow-up questions. First of all, just going back to the LPT, what was the cause of the additional adverse development?
Craig Mense: There were really two causes. One was relative to asbestos, a reduced estimate of the amount of the reinsurance recoveries and recall this agreement does seed the reinsurance credit losses or net impact of losses to Berkshire Hathaway. So on asbestos side it was really a lowered amount of reinsurance recoveries and then there were a couple of larger pollution losses in terms of where the individual outcomes were higher than we had expected.
Amit Kumar: And on those larger pollution losses, do you get the sense that the noise from at least that piece was sort of one-time in nature as of now or could we see more noise in the reminder of 2015 from that?
Craig Mense: Our estimates are at management’s best estimate at the time, so I wouldn’t suggest you see or expect any trends from that. Certainly we look at like you do, industry trends and we see in terms of competitors, etcetera. So I wouldn’t want to really engage any conjecture, but certainly there is more than sufficient limit left in the loss portfolio transfer to deal with any additional adverse trend.
Amit Kumar: Correct. The other question I had was – I guess this is a follow up to Joshua’s point. You talked about enhanced data I think responding to him granular data. As I said, those are terms we hear often and I’m not sure what to make of it. Do you have I guess more sets of eyes looking at the same data or what exactly has changed? How can we as outsiders get comfort on that fact and then better understand it. What’s really changed? Is it a ton of new IT resources analyzing the data or just better people. Maybe just talk a bit more about that.
Craig Mense: Well, if I could take you back and I think we maybe honestly overdoing the conversation here and I’m sorry we’ve made you anxious if we have, it certainly wasn’t our intention. What we’re doing is just continuing to – just like we do in all parts of our business and invest in the business and maybe the right word is refining our capabilities and continuously improving our capabilities. So that’s what we do across all our businesses, looking at loss data and we’re investing pretty heavily in technology and data analytics. That will cost our property casualty business as well as long term care. So it’s really nothing more than that. I think I did say to you when you asked that before that we have invested in the business. I mean we have more actuaries to make sure that we’re looking at things more clearly, but it’s just – we view it as just ongoing refinement and improvement.
Amit Kumar: Got it. The third question I had – maybe this is a two part question. The discussion on consolidation and M&A and looking at other entities and you talked about continuously looking at things, but not necessarily being out there just because everyone else is talking about M&A. I wanted to sort of loop that discussion back into, if you look at where the stock is trading at on a price-to-book basis, then if you look at the ROE because of the payment equity leverage and then sort of also add some of your competitors into the mix, where do we go from here? When does CNA get to the multiples where our Travelers is trading at? Do we even get there in the current cycle, especially with the leverage issue in terms of how your top line is versus the capital your carrying? Maybe Tom, just share your views as to how do you think that gap closes?
Tom Motamed: Well I think if I go back to my arrival at CNA there were a couple of issues that confronted us. The first were underwriting margins were unacceptable in commercial and we have worked very hard to improve the underlying accident year loss ratios. That required a shift in strategy on many fronts, underwriting, pricing, producer management segmentation and actually coming up with a strategy that was going to be successful for the long term and we believe that the customer segment strategy is serving us very well in that regard. It is probably the only strategy out there that blends commercial and specialty products which is very appealing to producers and customers. So we think that’s working very well. We did have an asbestos issue and we have addressed that and we think that was the right thing to do at that time. We still believe that and after we did it, a few other people followed. So the fact of the matter is we addressed that, we got rid of non-performing business outside of the U.S. and Hawaii and we have done the bolt-on of surety and Hardy, Hardy leading to the platform that will serve us well internationally. So all of those are moving pieces that we had to fix things along the way. Yes, we’ve certainly had to do that and we think we are continuing to gain on that. We are still getting rate increases. They have decelerated but that’s industry wide, but we are cautious on the new business we write, so we think we are moving all of that in the right direction. Long term care is still out there; you know that and we know that. We don’t see a solution for that right now, so we’re going to manage it as hard as we can and invest in it, so that we can do a better job in the meantime. So we expect things will improve, but this is about focus. Getting big for big sake doesn’t mean you’re going to be better. It doesn’t mean that the margins are going to be better. It doesn’t mean you’re going to have more command of the market place. So like I said Amit, we compete with bigger companies everyday and the fact is we win our share, they win their share, so that doesn’t worry us. We think we have a good offering for the market and we’re going stick with it. So this takes time and we’re gaining on it. So I think it’s a good story and we think it’s going to continue to go in the right direction.
Amit Kumar: And in terms of the capital level, I guess what I was trying to get to is, if you look at the premium to equity and then you compare it with some of the other names, I mean I think what I’m hearing from you is that all has been equal. We’re in it for the long haul and the price to book reflective of where the payment equity is, you’re sort of okay with where things are at least mid term, as to where the stock is trading.
Tom Motamed: Let me say this. As far as capital is concerned, as Craig mentioned and we had mentioned on many calls, we are investing in the business. We have done some acquisitions, although they are small. If there was something out there that made sense strategically and financially we’d take a look at that, but we have returned money to our shareholders in the meantime. So whether that’s the regular dividend, whether it’s the special dividend, but that’s all part of capital management and there’s a lot of action going on out there and I’m not going to say what we are going to do, but we are going to be very thoughtful in what we do and how we do it, because we’re in an improving position we believe and we’re not going to take away from that. So we’re not going to just do a transaction and screw up everything we worked on. So I would leave it at that.
Amit Kumar: Okay, that’s all I have. Thanks for the detailed answers and good luck for the future. 
Tom Motamed: Okay, thank you.
Operator: Up next from Bank of America/Merrill Lynch we have Jay Cohen. Please go ahead sir.
Jay Cohen: Yes, thank you. A couple of other questions. In a commercial segment after several years of declining premiums, this was the first time we’ve seen premiums go up on a gross and a net basis and you’ve suggested that there has been a bit of a change. I guess my question is, do you see this growth as sustainable or was there anything unusual in the quarter which would suggest we’d fall back into a pattern of no growth or shrinkage?
Tom Motamed: Well, first off is the second quarter historically is a good quarter for new business opportunities and I think we cashed in on those in the commercial space, particularly what we call the middle market segments, financial institutions, technology, professional services, white collar business which we think has better loss ratios over time than some of the industrial blue collar stuff. So we think a little bit of that is timing, but new business was up. It had been down for a while. We have had less to fix and commercially. The amount of business to be fixed is going down. We still have some to go which I mentioned in my comments, but we’re pleased with what we’re seeing in the middle market space and we’re retaining more of that business. The retention’s gone up. When you look at the tiers, the better business, the higher tiered business, the retention has improved in those as well. So we are pretty happy with where commercial is going. This is a marathon and this is not a sprint, so it’s very granular. It’s like three yards in a cloud of dust, right, so we keep pushing on that. So the retention was better in the middle market segments. We’ve had some rate, new business was better and we hate to keep pushing it along, but don’t think we’re going to be growing this at 5% or 10%. We think that would be irresponsible in this kind of pricing environment. So low single digit growth would be okay, we’ll take that.
Jay Cohen: Great, thanks Tom. On the specialty side you talked about getting a little bit more expensive and you saw the premiums shrink a bit more on a net basis. But on a gross basis, according to our numbers it looks like it was up pretty nicely. So what’s happening there, because obviously you seem to be buying reinsurance a bit differently. Is that fair? 
Tom Motamed: Yes, we have a cell phone captive which we book as gross written premium. There is no net on that, we get a fee for that. So that’s the difference between the gross and net other than reinsurance cost. But to address your other comment, in the health care space, particularly the hospital business where we are a pretty strong market, we find that to be very competitive. A lot of new entrance, a lot of people going after healthcare and particularly the hospital business, so we don’t like what’s going on there in pricing. New entrants trying to push the price down to get share. Also public DNO doesn’t look too exciting to us these days and when you look at the M&A activity, you are also finding one plus one does not necessarily equal two from an insurance premium standpoint. So as there are mergers, some of those accounts or the two accounts become less than two, but public DNO is pretty competitively. Once again, we said larger accounts people are going after and that’s what you see in public DNO and in the hospital business. So we would also see there is a lot of competition in assisted living business as well as life science business. So a lot of competition driving the price down and we are prepared to walk away, not jeopardize the margins that we’ve established over time and specialty. 
Jay Cohen: That’s helpful. Good thorough answer. Last question, on the holding company resources, the dividend capacity from the insurance, I assume that will be used up this year. 
Craig Mense: Unlikely it will be fully used up, but it will certainly be maintained. 
Jay Cohen: Okay, and then could you remind us, in the past when you used paid special dividends, did you end up using the credit facility or was it really just cash-on-hand?
Craig Mense: It was dividends from the insurance from the insurance subsidiaries up streams to meet it.
Jay Cohen: Got it, but it looks like already you got holding company cash in excess of your annual corporate obligation. 
Craig Mense: Yes. Now remember and you can see that on the slide and I don’t recall exactly what page Jay, but when you pointed to it, the way we define corporate obligations would be the interests expense on the debt and the annual dollar being $0.25 a share quarterly dividend, and that’s when we retain enough cash to fund that over the course of a full year. 
Jay Cohen: Got it, yes. No, that seems to be laid out there. Very good, thanks for the answers. 
Craig Mense: You’re welcome. Thank you. 
Operator: And we’ll take our next question from Jeff Schmitt with William Blair. Please go ahead sir. 
Jeff Schmitt: Hi, good morning. 
Tom Motamed: Good morning. 
Jeff Schmitt: A couple of quick questions. One on the international segment. Did I hear it right, you said excluding the negative impact of FX growth would have been plus 5% versus minus 5%. 
Craig Mense: Correct.
Jeff Schmitt: Okay. And then on the tax rate, after adjusting for the retro charge it looks like it came in at 25% versus 28% on the second quarter last year. Could you maybe discuss what’s driving that difference? 
Craig Mense: Just the higher proportion of income is coming from tax exempt investments. 
Jeff Schmitt: Just driven by the – okay. 
Craig Mense: Yes, the mix of income.
Jeff Schmitt: Okay, and is there anything more you could say on the limited partnership at all; just the lower return this quarter. I mean any detail on that. 
Craig Mense: I don’t think there is any. I mean I think that’s – just remember that we are marking – the large majority of our limited partnerships are real time market adjustments. They are over 8% and less than 20% of our limited partnerships are private equity or be it lagging indicators. So it’s really just those returns reflecting the market, particularly at the end of June. 
Jeff Schmitt: Okay. That’s it, thank you. 
Craig Mense: Thank you. 
Tom Motamed: You’re welcome. 
Operator: [Operator Instructions]. We have a follow up question from Amit Kumar with Macquarie. Please go ahead sir. 
Amit Kumar: Thanks. Just one quick follow-up to, I think it was Jay’s question on special dividend. I know you did a special dividend of $2 previously. Is the special dividend still one of the tools which could be utilized going forward when looking at the capital position or was that special divided discussion etcetera, is that more in the rear view mirror. 
Tom Motamed: I think Amit we said we are going to use capital to invest in the business, maybe an acquisition or return it to shareholders. So we got flexibility and we have options, time will tell. 
Amit Kumar: And special dividend is still on the table. 
Tom Motamed: Yes. 
Amit Kumar: Okay, that’s all I wanted to clarify. That’s all I have, thank you for that answer. 
Tom Motamed: You’re welcome.
Operator: At this time we have no further questions in our queue. 
Tom Motamed: Thank you very much. See you next quarter. 